Operator: Greetings, and welcome to the Texas Pacific Land Corporation Fourth Quarter 2024 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Shawn Amini with Investor Relations. Thank you. You may begin.
Shawn Amini: Thank you for joining us today for Texas Pacific Land Corporation's Fourth Quarter 2024 Earnings Conference Call. Yesterday afternoon, the company released its financial results and filed its Form 10-K with the Securities and Exchange Commission, which is available on the Investors section of the company's website at www.texaspacific.com. As a reminder, remarks made on today's conference call may include forward-looking statements. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those discussed today. We do not undertake any obligation to update our forward-looking statements in light of new information or future events. For a more detailed discussion of the factors that may affect the company's results, please refer to our earnings release for this quarter and to our recent SEC filings. During this call, we will also be discussing certain non-GAAP financial measures. More information and reconciliations about these non-GAAP financial measures are contained in our earnings release and SEC filings. Please also note, we may at times refer to our company by its stock ticker, TPL. This morning's conference call is hosted by TPL's Chief Executive Officer, Ty Glover; and TPL's Chief Financial Officer, Chris Steddum. Management will make some prepared comments, after which we will open the call for questions. Now I will turn the call over to Ty.
Tyler Glover: Good morning, everyone, and thank you for joining us today. Fourth quarter closed a remarkable year as TPL set records across nearly every key operating driver despite sideways crude oil and natural gas prices. Year-over-year 2024 oil and gas royalty production volumes increased 14%, water sales volumes increased 31% and produced water royalty volumes increased 37%, with all three of those performance indicators representing corporate records. Our strategic investments in people, technology and infrastructure are paying major dividends as our surface and water revenues were collectively up 23% year-over-year. In addition, last year, we acquired over $400 million of high-quality Permian mineral, royalty, water and surface assets, providing TPL with additional growth levers. The cumulative impact of all these successes culminated in record shareholder return of capital in 2024 with a combined $376 million returned via dividends and buybacks. It was very simply a great year. I'd like to focus my prepared comments today on three topics: First, a debrief on the Permian during 2024 and an outlook for this year; second, a description of our latest efforts towards next-generation opportunities; and lastly, an update on our produced water desalination and beneficial reuse endeavors. Starting with the Permian. Despite a steady decline in rigs throughout 2024, Permian oil and gas production exited last year at record highs. According to Baker Hughes, Permian horizontal rigs peaked at around 345 in the first half of 2023, which then declined to about 300 entering 2024 and exited the year around 290. However, as the industry has demonstrated time and again, operators continue to find efficiencies through innovations such as longer laterals and multi-formation coal development. Based on preliminary industry data on a full year basis, despite the average rig count in the Permian being down about 8% from 2023, the number of spudded wells was down only 2%. Furthermore, well laterals were approximately 5% longer year-over-year, which translated into 2024 having approximately 3% more drilled lateral feet compared to 2023. The net of all this, Permian production still managed to grow approximately mid-single-digit percentage exit to exit from fourth quarter 2023 to fourth quarter 2024. Looking ahead to 2025, we see a constructive outlook for the Permian. Fourth quarter 2024 new permits basin wide were up approximately 20% year-over-year on a simple count basis and up 24% year-over-year on a total lateral feet basis. The Matterhorn pipeline coming into service has helped to ease the bottleneck on natural gas takeaway, which should help reduce basin differentials and improve price realizations. This is especially meaningful for the Delaware Basin, where gas and NGLs production splits in certain subregions can, in aggregate, represent over 60% of a wells energy content. We still see a healthy inventory basin wide of drilled but uncompleted wells, otherwise known as DUCs, where we estimate current DUC counts of less than 2 years of age to be roughly equivalent with levels from 2023 and 2022. Current Permian rig count should be able to generate growth assuming new spuds return to sales on a normal development cadence and not used to build excess DUC inventory. Of course, Permian development and production will still be heavily influenced by the price of oil and the ultimate path of crude oil prices over the course of 2025 will likely dictate whether activity accelerates or slows down. Next, I'd like to discuss TPL's efforts beyond our legacy oil and gas business. Over the last few quarters, we've seen a robust increase in interest towards the development of data centers, power generation and grid infrastructure. As we've discussed in the past, the Permian's vast hydrocarbon and non-hydrocarbon resources make it an attractive option for developing energy-intensive assets. Our years long efforts to attract substations, renewable projects, battery storage and other infrastructure, combined with our leading source water network, our emerging produced water desalination technology and our sizable oil and gas royalty position has positioned TPL to take advantage of emerging opportunities. We believe that just owning the land itself is not sufficient to create durable incremental value, rather by also bringing other major elements such as high-spec freshwater, access to grid infrastructure and availability of hydrocarbon and renewable energy, we can participate in the value chain as these next-gen industries emerge and capture commensurate value as they grow and mature. Our approach to these new opportunities is not unlike our approach to the Delaware Basin water business nearly a decade ago. Back then at TPL, we saw a budding business opportunity with an uncertain competitive landscape and fragmentation among developers and operators. We ultimately executed on a strategy to exploit TPL's latent advantages. We moved away from the liquidation model that the trust had employed for over a century and instead proactively hired experienced personnel and invested growth capital. We're just as willing today to commit resources to these potential new opportunities, especially in domains where TPL has a competitive advantage. We continue to make progress on this front, and we will share more as we reach certain milestones. Turning to our produced water desalination and beneficial reuse endeavors. We have begun construction of our 10,000 barrel per day test facility, which we refer to as Phase 2b. Equipment is currently being assembled at our manufacturing partners facility, which is located in the U.S. The desalination equipment will be commissioned and tested there. And once it satisfies specifications, it will be sent to Orla, Texas for final installation. We still expect completion of this facility in the middle of this year. We expect the total cost of Phase 2b to be approximately $25 million, having spent approximately $7 million in 2024, with the remaining balance to be spent this year. We also have an option for a behind-the-grid gas-to-electric generation that would be tied into a nearby pipeline, which would require additional capital investment of approximately $10 million. In addition, our engineers are studying various costs and efficiency opportunities as our freeze desalination process provides potential synergies that's co-located with other industrial or power generation facilities. In advance of the completion of our Phase 2b desalination facility that will produce both freshwater and a concentrated brine solution, we are advancing with multiple beneficial reuse initiatives. We expect to receive our second land application permit from the Texas Railroad Commission for an approximate 100-acre plot in Orla, Texas, where we plan to undertake a restoration project to restore native brush grasses, reintroduce coil to the area that will be irrigated with freshwater produced from our desalination system. This plot itself would be able to accommodate the entire freshwater output from our Phase 2b desalination facility. Additionally, early last year, we submitted an application to the Texas Commission on Environmental Quality, otherwise known by its acronym TCEQ to discharge treated desalinated produced water into the upper region of the Pecos River. That technical review is progressing, and we have been responsive to questions and requests from regulators. We hope to have that permit this year. We are also looking to leverage the ability to source substantial quantities of highly purified desalinated freshwater ice that might be a critical resource for various industrial uses. Finally, I want to thank all the employees here at TPL. Not many energy companies can claim that fiscal year 2024 was their best year ever, but for TPL, it was. And that is owed to the dedication, collegiality and talent of our employees. With that, I'll hand the call over to Chris.
Chris Steddum: Thanks, I. For full year 2024, we generated record free cash flow of approximately $461 million, which represents an 11% year-over-year increase. Full year performance benefited from higher daily oil and gas royalty production, which increased 14% year-over-year, higher water sales daily volumes, which increased 31% and higher produced water royalty daily volumes, which increased 37%. Of the approximately 26,800 barrels of oil equivalent per day for full year 2024 royalty production, acquisitions that closed last August and October contributed approximately 1,100 barrels of oil equivalent per day. Consolidated results were partially offset by lower realized oil and natural gas prices, which declined year-over-year by 2% and 48%, respectively. Consolidated revenues during the fourth quarter of 2024 were approximately $186 million. Consolidated adjusted EBITDA was $161 million and adjusted EBITDA margin was 87%. Diluted earnings per share was $5.14. Fourth quarter 2024 royalty production of approximately 29,100 barrels of oil equivalent per day represents an 11% increase compared to the same period last year and a 3% increase sequentially as activity remains robust in our Loving County, Central Midland Basin and Northern Reeves County subregions. Quarterly produced water royalty volumes grew 8% sequentially and 44% year-over-year to approximately 4 million barrels per day, benefiting from our new volumes into our out-of-basin pore space in Andrews County that we acquired in 2023. Sourced water sales volumes of 737,000 barrels per day grew 2% sequentially and 42% year-over-year with demand for treated water especially strong during the quarter. As of quarter end, we had 6.4 net permitted wells, 13.2 net DUCs and 3.0 net completed but not producing wells. That amounts to 22.6 net line-of-sight inventory. We believe this level of near-term inventory can support near- and medium-term production growth above overall Permian production growth. Permit and spud activity have been especially strong in our Culberson County royalty acreage. The top 6 companies operate on our DUCs are currently Chevron, Coterra, Exxon, Oxy, BP and EOG, which in aggregate represent approximately 71% of TPL's total DUCs. With regard to capital allocation, in 2024, we deployed a record amount of capital towards highly accretive M&A while simultaneously investing in our water business and returning a record amount of cash back to shareholders through dividends and buybacks. Looking ahead to this year, because of our high-margin business model, fortress balance sheet, massive Permian royalty and surface acreage footprint, talented commercial team and innovative engineers and scientists, we have both the financial wherewithal and opportunity to invest across numerous avenues toward generating long-term value while also returning substantial cash back to shareholders. Yesterday, we announced a regular dividend of $1.60 per share, which represents a 37% year-over-year increase. We expect capital expenditures in fiscal year 2025 to be approximately $65 million to $75 million. This includes approximately $28 million for our produced water desalination and co-located gas generation. The balance of CapEx for the year is primarily for our brackish source and treated water business. CapEx towards the higher end of the range would be predicated on growth opportunities should upstream activity ramp in and around our footprint. With respect to M&A, we still see ample opportunity to consolidate Permian minerals, royalties, water and surface assets. Our focus remains on assets that are at least as good or better quality than our legacy asset base, and any acquisition would be intentioned on enhancing and maximizing intrinsic value per share. Acquisitions over the last couple of years serve as a good example of what this M&A growth lever can provide shareholders. The minerals and royalties we purchased last year are contributing a double-digit percentage uplift to production while also substantially augmenting our near-term and long-term well inventory. Acreage and pore space acquisitions in Andrews and Winkler County are already driving significant produced water volume growth, and these assets are especially critical towards providing the industry with out-of-basin disposal options. Recall last year, we announced a target cash and cash equivalents balance of approximately $700 million or above this level, TPL will seek to deploy the majority of its free cash flow towards share repurchases and dividends. Our balance sheet still has 0 debt, and our current cash and cash equivalents balance at year-end was approximately $370 million. Though I would add, nothing precludes us from accelerating shareholder return of capital even if we're under that $700 million level. In summary, we'll continue to be thoughtful and opportunistic with our capital allocation as we remain focused on maximizing shareholder value. The legacy business is performing incredibly well. We have a multitude of exciting growth opportunities in front of us, and we have the team, business strength and balance sheet to execute. And with that, operator, we will now take questions.
Operator: [Operator Instructions] Our first question comes from Derrick Whitfield with Texas Capital.
Derrick Whitfield: Ty and Chris, congrats on your progress during 2024. Also certainly, thanks for the update on water and some of the next-gen opportunities you guys are discussing. Maybe starting there and referencing Page 33 of your presentation. Could you further elaborate on the potential desal synergies with behind-the-meter power generation and data centers? And how advanced your discussions are on this opportunity?
Tyler Glover: Yes, sure. Robert, do you want to take that one?
Robert Crain: Sure. I think when you look at all the ingredients that are required for a data center and the growth of data centers, not just in the Permian, but across Texas. Power constraints are being felt everywhere. When you say that and when you look at the synergies and the ingredients that it takes and what the Permian has, it truly is a transformational opportunity to do it. The behind-the-grid generation to see data centers come to West Texas, it's going to take behind-the-grid generation. And then when you look at the synergies of waste heat capture off of that generation for use in desal pretty tremendous. And then also just the water component, the water component of the look at the synergies we've got too much water in the Permian and in form of produced water, and then the demand that these data centers need and tying all three of those together is truly a tremendous opportunity.
Derrick Whitfield: Great. And that makes complete sense. And then maybe staying with you, Robert, just on the desal opportunities. Is the goal still 75% volume reclamation, 75% analyte removal at a cost of 75%. And I guess further now with the benefit of another year of assessment and your progress with Phase 2, how confident are you guys in achieving that $0.75 per barrel treatment cost with a commercial scale facility?
Robert Crain: With all treatment, scale take to get to that point, I'll take it kind of each 75% as you go. We're on track on the first two. The 75% -- volume reduction was 75%. We're trending toward that. And again, mentioned in the call, the testing we're doing right now in North Carolina. When you look at the 75% cost outside of just scale to get there. And we see that scale and that economy to scale that required even our traditional treatment used for hydraulic fracturing. The bulk of that $0.75 for any desal technology comes from the energy consumption that's required. And you try to base that at first in a kilowatt per hour, assuming that you're going to tie into the line power. And again, it goes even more toward the benefits of going to the nat gas generation, being able to get that kilowatt per hour cost down via gas and infield gas being the generation piece, the 75% is 100% achievable. But we're trending toward all three.
Derrick Whitfield: That's great. And perhaps for Ty, Chris, I mean, in the press release, you guys mentioned a compelling opportunity to consolidate enormous, yet fragmented market for oil and gas royalties, surface and water assets. Where are you seeing the greatest opportunities today between royalties and surface?
Tyler Glover: Yes. I mean, honestly, the deal pipeline looks really good. The landscape for '25 looks very good. And we've been looking at quite a few opportunities, both on the surface and mineral side. So it seems like there are more opportunities for both on the landscape for '25 than we've seen in the past. And I think we're going to get the chance to look at a lot of really high-quality opportunities. And there seem to be some larger, higher-quality packages starting to come available. So we are very excited about the landscape as far as acquisitions and across surface, mineral and the water space as well.
Derrick Whitfield: Terrific. And perhaps thinking about things from a macro perspective with the recent change in administration, could the Trump administration make any federal changes in policy, which could open up greater amounts of pore space in New Mexico that would be attractive for the industry given the depth of SWD wells in New Mexico in general?
Tyler Glover: Maybe repeat the last half of that question, Derrick, sorry.
Derrick Whitfield: Sure. So could the Trump administration make any changes in federal policy, which could open up greater amounts of pore space into Mexico and federal lands that would be attractive to an industry given the depths of SWD wells in Mexico in general?
Tyler Glover: I mean, I guess it's possible. I'm not aware of anything coming down the pipeline that is going to help New Mexico from a regulatory standpoint as far as disposals, Robert, I don't know if you are. Do you have an update there?
Robert Crain: No. No, I don't. And that would be, again, not aware of anything that would be a piece we haven't seen to date. But I would say even beyond any regulatory changes, it's just the need for an alternative in water that's outside of disposal is going to come just from a functional standpoint even beyond the regulatory standpoint, but I'm not aware of anything.
Tyler Glover: I think those changes would likely be more state level than Fed level.
Derrick Whitfield: And correct me if I'm wrong, but I think the wells, generally speaking, on the Mexico side, aside from the regulatory link maybe that would require or more length that would require from a timing process. Those are about 50% more expensive in general, as I understand. Is that in the right ZIP code?
Robert Crain: I assume you're referring to the deeper disposal?
Derrick Whitfield: That's correct.
Robert Crain: The deeper disposal is, I would say, even greater than 50%, but you've seen a pullback in New Mexico. You saw a pullback on the shallow disposal 7, 8 years ago. You saw a pullback more recent in the last 2 to 3 years that has really seen the overall disposal capacity in New Mexico decline. But the deeper disposals are significantly more expensive. And due to various seismic and cost and really that payback on the deep disposal when you see a reduction in volume given the capital cost to put one in, you've seen a significant reduction on both sides of the border in deep disposal.
Derrick Whitfield: And as my final question for you guys. I'm just kind of thinking about your 2025 trajectory, referencing your line of sight inventory and recent commentary from the industry. How are you thinking about the turn-in-line quarterly run rate, if you will, for oil and gas royalties?
Chris Steddum: Derrick, if you look at the current line of sight inventory and you just kind of take your DUCs and your recently completed 13 and kind of 3, you put those together, you're in like 16. I think the 3 recently completed nearly 100% of those or practically 100% of those are going to come online during the course of the year. On the DUCs, the timing of those, it's usually 90% or higher that get turned on in the course of the year. And you might even have like 5% or 10% of the permits that also kind of make the full cycle trip in less than a year. So if history is a guide, if people continue activity levels that we've seen historically, that might lead you to believe that somewhere in the 14 to 15 net wells would get turned in line during 2025. And all 3 of the completed and 11 or 12 of the DUCs and maybe less than one net permit or something like that. But -- and that would be very robust. I mean that would probably exceed past years as far as like quarterly run rate. So the potential is definitely there for a very robust amount of wells coming online. It's really just going to come down to oil prices and activity levels. But as far as the inventory available, very, very strong right now.
Operator: Thank you. At this time, this does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time, and have a great day.